Operator: Good morning. Welcome to Reliq Health Technologies Corporate Update. Today is June 1st, 2021 and it is 9:00 A.M. Eastern, 6:00 A.M. Pacific. Thank you for joining us. Please review this forward-looking statement disclaimer at your leisure and remember that the information provided in this presentation is presented in this context. So, for those of you who are new investors, Reliq Health Technologies is a rapidly growing global telemedicine company. We focus on developing innovative virtual care solutions for the multi-billion dollar healthcare market and we are a Canadian company headquartered in Hamilton, Ontario and we are primarily focused on clients in the United States and we, therefore, have two offices in the US, in Florida and in Texas. The agenda for today's webinar, and this'll be a relatively brief webinar, there aren't a lot of complex updates on the last quarter. This was a very important quarter for Reliq, in that it was the quarter when the United states started their vaccine rollout, but not a terribly active quarter in healthcare in general given that the pandemic was still a very significant issue during the last quarter. Thankfully, we are now starting to see that light at the end of the tunnel and certainly US has done quite well with their vaccine rollout and getting healthcare providers the ability to go back to focusing on all of their patients and not just their urgent COVID patients. So, that's certainly beneficial for everyone, but very much beneficial to us as a business.
Q -: